Operator: Greetings, and welcome to the CVR Partners Third Quarter 2012 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Wes Harris, Vice President of Investor Relations for CVR Partners. Thank you, Mr. Harris. You may begin
Wes Harris: Good morning, Robin. Good morning, everyone. We appreciate your participation on today’s call. With me today, our Chief Executive Officer, Byron Kelley; Chief Operating Officer, Stan Riemann; and Chief Financial Officer, Susan Ball. Before we start to discuss our 2012 third quarter results, we’re required to make the following Safe Harbor statements. In accordance with federal securities laws, statements in this earnings call relating to matters that are not historical facts are considered forward-looking statements. These forward-looking statements are based on management’s beliefs and assumptions, using currently available information and expectations as of this day. These forward-looking statements are not guarantees of future performance and involve certain risks and uncertainties, including those noted in our filings with the SEC. In addition, today’s presentation includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliations to the most directly comparable GAAP financial measures are included in our 2012 third quarter results press release that we filed yesterday after the market closed. With that, I’ll turn the call over to Byron Kelley, our Chief Executive Officer.
Byron R. Kelley: Well, thank you, Wes, and good morning to everyone. We’re certainly pleased to have you join us this morning. Today, I will begin with a review of the third quarter and some comments on our current business. Susan will follow with the discussion of the detailed financial results after my initial comments. I will then conclude with a few remark regarding some industry trends as well as our outlook through this year and 2013. And then after that, we’ll be happy to answer your questions at the end of the call. Following a very successful first half of the year, we are also pleased to have posted very solid financial results for the third quarter of 2012 including a net income of $31.6 million on net sales of $75 million. This is compared to 2011 third quarter net income of $36.3 million on net sales of $77.2 million. Looking at the nine moths ending September 30, 2012, we posted sales of $234.7 million compared to $215.3 million in 2011 or a 9% increase. We recorded a 6% increase in year-to-date net income growing from $91.2 million last year to $96.9 million in the third quarter of 2012. Our 2012 third quarter adjusted EBITDA, which as you know represents our net income adjusted for depreciation, amortization, interest expense and income, and income tax expenses, and share-based compensation was $39 million as compared to $43.3 million in the prior year. Looking at the nine months ended September 30, our adjusted EBITDA was $121 million, a 6% increase from the $114 million we reported for the same period in 2011. Our strong financial performance in the third quarter of 2012 resulted in the October 26 announcement of a distribution of $0.496 cents per common unit. This distribution will be paid on November 14 to unitholders of record on November 7. Looking at our operations in more detail, in the third quarter of 2012, we produced 104,200 tons of ammonia. Of this amount, we converted 74,800 tons into 181,900 tons of UAN, leaving a balance of 29,400 net tons of ammonia that was available for sale. Comparing this to the third quarter of 2011, we produced 102,700 tons of ammonia, of which 76,800 tons was converted into 185,800 tons of UAN. This left a balance of 25,900 net tons available for ammonia sales in the third quarter of 2011. As we expected, our daily production rates were lower in this year’s third quarter as plant efficiency typically declined as we approach the end of two year cycle between turnarounds. So while daily production rates for both ammonia and UAN were impacted by this length between turnaround cycles, the total ammonia production volumes were actually higher in 2012 third quarter as we utilized essentially all of our hydrogen in the production of ammonia. This is compared to 2011 third quarter when we elected to sell ammonia equivalent of 600,369 tons of hydrogen to CVR entities adjacent refinery pursuant to our feedstock agreement with the refinery. Susan will discuss the financial impact of these activities in her prepared remarks. Although, we saw lower production rates that I mentioned, we expected to see that in the third quarter as we approach turnaround, we were pleased that would require high on-stream – record high on-stream rates during the third quarter. During that period, the gasifier was on-stream 99% of the time, the ammonia synthesis loop was on 98%, and the UAN plant was on-stream 97% of the time. During the third quarter, we realized an average netback price of $578 per ton as compared to $568 per ton in the prior year. For UAN, the average price for 2012 third quarter was $290 per ton and this was slightly below the $294 per ton netback recorded in the third quarter of 2011. So we saw ammonia prices up roughly $20 a ton and UAN prices were down about $4 a ton year-to-year in third quarter comparisons. We continue to make important progress on our UAN plant expansion during the third quarter and we remain on target for completing the project by the start of 2013. We currently expect our total investment in this project will be between $125 million to $130 million. As we’ve discussed previously, the expansion is designed to allow us the ability to convert virtually all of our ammonia production into more highly valued UAN. This will increase our capacity to more than 1 million tons of UAN annually, which is approximately 50% higher than current levels. I’m also pleased to announce that we completed our $2 million project to construct a storage and distribution tank in Phillipsburg, Kansas, this is complete and the Phillipsburg facility is operational. We have orders placed against the terminal for the first quarter of 2013 and we’re currently quoting prominent ship turns out of that terminal as well. I’ll now turn the presentation over to Susan Ball, our Chief Financial Officer. This is Susan’s first call and we welcome her aboard, so you all take it easy on her today. Susan?
Susan M. Ball: Thank you, Byron, and good morning, everyone. We’re pleased to report another quarter of solid financial results. As previously mentioned, third quarter of 2012 net sales were $75 million as compared to $77.2 million in 2011. This decrease was primarily attributable to lower UAN sales volumes and prices and to a lesser extent the related net impact of lower hydrogen sales to CVR Energy’s adjacent refinery partially offset by higher ammonia sales in this year’s third quarter. As a reminder, under our feedstock and shared services agreement, we both buy hydrogen from and sell hydrogen to the refinery. Substantially, all the hydrogen we produced in the 2012 third quarter was used in the production of ammonia. As Byron mentioned earlier, this resulted in higher ammonia volumes year-over-year. As a result, during the 2012 third quarter, we recorded hydrogen sales of approximately $0.3 million and hydrogen costs of approximately $0.1 million. This is compared to the 2011 third quarter when we recognized approximately $5.7 million for hydrogen sales and $0.3 million for hydrogen costs. Cost of product sold for the 2012 third quarter was approximately $11.3 million as compared to $10.9 million in the third quarter of 2011. Contributing to the slight net increase was higher freight and distribution costs, which were partially offset by reduced pet coke prices and consumed volumes. As we’ve discussed in the past, we typically purchase over 70% of our pet coke from the adjacent refinery. The remaining 30% of our pet coke requirements are purchased from a third party supplier under a fixed price contract that began in March of this year and runs through the end of 2013. During the 2012 third quarter, our average cost for consumed pet coke, which includes third party purchases, shipping and handling, was approximately $30 per ton, this compares to $43 per ton in the third quarter of 2011. Direct operating expenses excluding depreciation and amortization were $21.1 million for the third quarter of 2012 as compared to $20.1 million in the prior year. The increase for 2012 was substantially due to lower insurance proceeds received in 2012 as compared to 2011 for recovery of cost that were incurred with the 2010 vessel rupture. We received insurance proceeds both in 2012 and 2011, but 2012 were approximately $1.5 million less than 2011. Selling, general, and administrative expenses were $5.1 million for the 2012 third quarter as compared to $4.5 million in the third quarter of 2011. Contributing to the increase was higher overall personnel costs including increased reimbursements to our general partner. This is partially offset by lower reimbursements under our services agreement with CVR Energy. Turning to capital expenditures, during the 2012 third quarter, we spent approximately $18.2 million on capital projects, including $1.6 million for maintenance CapEx. For the full-year 2012, we currently expect to invest approximately $90 million to $105 million in capital projects, which excludes capitalized interest. This amount includes $6.5 million to $8 million for maintenance CapEx and approximately $85 million to $95 million for growth projects, which includes $75 million to $80 million on the UAN expansion project. All of our planned capital spending will be fully financed by cash on our balance sheet. As of September 30, we have $180 million in cash and cash equivalents and $25 million available under our revolving credit facility. Of the $205 million in total cash liquidity approximately 50% was not committed. In addition, at the end of the 2012 third quarter, we carried a modest $125 million in debt. As such we remain in a very strong position to capitalize on available growth opportunities. With that, I’ll turn the call back over to Bryon.
Byron R. Kelley: Thank you, Susan. I’m going to later touch on some of the macros about the industry and where that may be leading us into 2013. But before I do that, I’d like to touch on few items specifically related to our business. As you know, we’ve talked about that – the fourth quarter this year is our turnaround quarter and we did bring the plant down for a scheduled turnaround on October 3. During this time, we perform maintenance activities that are designed to improve our operational efficiency in the plant. Also this year, in addition to the normal turnaround work, we installed critical assets and tie ends related to our UAN plant expansion. So it’s a busy time during October completing all that work. We did resume ammonia production from October 23 and UAN production on October 25. And I’ll have to take hats off to our group operating personnel; they did a great job getting all the turnaround and the tie end work done during this period. Looking at marketing for a minute we have UAN orders booked for substantially all of our anticipated production for the fourth quarter and more than 80% of our production of the first quarter is also booked. In regards to ammonia and current activities, we have a few thousand tons in inventory that we anticipate taking orders against for delivery before year-end and we also expect to have some December production tons that will be available for delivery in the spring. And I’d mention, that assumes all else is equal in terms of cost and sales prices really just trying to give you an impact, a flavor for the impact of those no turnaround of the new project. And I’d mention, that assumes all else is equal in terms of cost and sales prices really just trying to give you an impact, a flavor for the impact of those no turnaround of the new project. I believe the expected low year ending corn inventory levels should lead to planting of at least 94 million to 96 million acres of corn next year and this should continue a very positive pricing environment for our products into 2013. We could well see that continuing on into 2014 as well. So as we wrap that up through the end of the year and present those to the board, we look forward to being able to look at some of the benefits that may come out of that for our unit holders in the years ahead. To wrap up, we are very pleased with our performance year-to-date and we look forward to completing a successful 2012 in just a few months down the road in addition, supported by a solid industry fundamentals, 2013 is shaping up to be, we believe an outstanding year highlighted by substantial growth out of our expansion project as well as not having a negative impact of a turnaround next year. So with those comments, operator we will be glad to open the floor for questions.
Operator:
Jeff A. Dietert – Simmons & Company: It’s Jeff Dietert with Simmons & Company, good morning.
Byron R. Kelley: Good morning, Jeff.
Jeff A. Dietert – Simmons & Company: It appears you got growing confidence in the UAN expansion coming online, I believe your press release said by January 1 could you talk about what you lack there in completing construction?
Byron R. Kelley: I am going to really let, Stan Riemann is with us, he is our Chief Operating Officer. I will let him address them.
Stanley A. Riemann: Good morning, Jeff. How are you?
Jeff A. Dietert – Simmons & Company: Good morning, good.
Stanley A. Riemann:
Jeff A. Dietert – Simmons & Company:
Byron R. Kelley:
Jeff A. Dietert – Simmons & Company:
Byron R. Kelley:
Jeff A. Dietert – Simmons & Company: Okay. But it’s not as simple as taking 2012 CapEx and backing out the UAN expansion portion to get just a general idea?
Byron R. Kelley:
Jeff A. Dietert – Simmons & Company:
Byron R. Kelley: I appreciate. Yeah.
Operator: (Operator Instructions) Our next question comes from the line of Kenneth Cramer with Citigroup. Please proceed with your question.
Kenneth Cramer – Citigroup: Good morning. And…
Byron R. Kelley: Good morning.
Kenneth Cramer – Citigroup: And welcome, Susan. Susan, I have a…
Susan M. Ball: Thank you.
Kenneth Cramer – Citigroup: …relatively easy and straight-forward question for you. What is UAN's current ratio? And do you anticipate it will improve in the next few quarters?
Byron R. Kelley: Debt to EBITDA? Is this what you’re referring to or…?
Kenneth Cramer – Citigroup: No. Current ratio is current assets over current liabilities.
Byron R. Kelley: Okay. Give me just a minute.
Susan M. Ball: Yeah, I apologize.
Byron R. Kelley: 3.7 times.
Susan M. Ball: Yeah it is 3.7 times.
Kenneth Cramer – Citigroup: Fine, thank you very much and again welcome aboard.
Susan M. Ball: Thank you.
Operator: There are no other questions in the queue at this time. I’d like to turn the floor back over to management for closing comments.
Byron R. Kelley: We appreciate you joining this morning. And we are again as I said, we’re very pleased with our third quarter and year-to-date results. And we’re certainly excited about next year, and the things that we know that are pretty much given, that are going to provide some great upside and growth in our distribution next year. So with that, well again, we thank you for joining us, and as always you know, you can call for follow-up questions. Thank you very much.
Operator: This concludes today’s teleconference. You may disconnect your line at this time. Thank you for your participation.